Operator: Good morning and welcome to the First Quarter 2017 Results Conference Call. The speakers for today's call are Tim Knox, President and the Director of CSI Compressco GP; and Elijio Serrano, Chief Financial Officer for both CSI Compressco GP and TETRA Technologies, Inc. who owns the general partner. Our participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I will now turn the conference over to Mr. Knox. Please go ahead.
Tim Knox: Good morning and thank you for joining the CSI Compressco's first quarter 2017 results conference call. I would like to remind you that this conference call may contain statements that are or may be deemed to be forward-looking. These statements are based on certain assumptions and analysis made by CSI Compressco and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the Partnership. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to EBITDA, adjusted EBITDA, free cash flow, distributable cash flow, distribution coverage ratio or other non-GAAP financial measures. Please refer to this morning's press release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In addition to our press release announcement that went out earlier this morning, and as posted on our website, our Form 10-Q is planned to be filed with the SEC on or before Wednesday, May 10, 2017. Again, thank you for joining us this morning. We do appreciate your interest in CSI Compressco. I'll start with a quick update on safety performance and will then highlight two recent actions that have been executed to support the Partnership. I will discuss the performance and outlook for various components of our business and then turn the call over to Elijio Serrano, our Chief Financial Officer who will cover more financial details. Safety performance in the first quarter of 2017 continued the excellent trend and improvement demonstrated in 2016, with zero OSHA recordable injuries and zero recordable vehicle incidents as measured by our internal company vehicle incident rates in the first quarter. Our trailing 12-month injury and incident rates continued to decline as we drive this performance towards a positive zero result. Leading indicators as measured by our internal behavior based observation has recognition management site visits and training programs also continue to improve and exceed all targets that have been established. In April, it was announced that we have reduced our distribution on the common units by 50% to $0.1875 per common unit per quarter equivalent to $0.75 per common unit per year. This action retained over $25 million of earnings on an annualized basis and resulted in a distribution coverage ratio for the current quarter of 1.09. Subsequent to the change in distribution, we negotiated with our banking syndicate to amend our revolving credit facility providing us with a 6.75 maximum total leverage ratio for the June and September periods since stepping down at the end of 2017 and throughout 2018. We believe that reducing the distribution and amending our revolving credit facility covenants will provide us the balance sheet flexibility to address business opportunities as they are uncovered and allow us to remain compliant with our covenant obligations. Elijio will provide additional information on each of these actions in his financial comments. Headcount for the Partnership increased only very slightly in the first quarter to 621, up four from the 617 reported in the prior quarter. In both cases, this excludes some personnel available to us in Latin America for operations there under our working relationship with TETRA Technologies who owns the General Partner. Sales, general and administrative expenses for the first quarter of 2017 were $8.8 million, 14% reduction from SG&A in the same period of the prior year. At the end of the first quarter of 2017 we had 853,200 of our 1,108,523 horse power generating revenue, a very slight increase for the amount of revenue generating horsepower at prior quarter end. While deployments or sets was not much different than the average of the prior few quarters, the amount of stock bills [ph] or returns was less than half of what it was in the first quarter of 2016, the lowest stock bill activity that we've experienced in the past six quarters. About one third of the total first quarter stock bill activity came from dry gas areas in our Western Region and operations that continued throughout the sub $2.50 prices experienced in the first half of 2016. But without field maintenance, the volumes declined to a point where the horsepower is simply oversized and uneconomical. We will now look to redeploy that equipment in areas with more favorable economics for our customers. Fleet make ready in the first quarter was strong. We completed more fleet deployment preparation work in the first quarter of 2017 than we did in the first three quarters of 2016 combined. This allows us to respond quickly to set opportunities as they arise and we expect this activity to continue throughout the second quarter of 2017. We also incurred some addition costs associated with labor, freight, lube oil and other typical mobilization expenses as we turn the corner from contraction to expansion in fleet deployment. The increased expenditures in investments associated with make ready and mobilization in this up cycle set this up for growth in revenues and profits in the improving and stabilizing market. For the second quarter in a row we experienced quarter-over-quarter improvement in the utilization of our compression services fleet, improving to 77.0%, an improvement of 0.6% or 60 basis points compared to prior quarter. Total fleet horse power at the end of the first quarter was down 5,789 horsepower compared to the end of the prior quarter as a result of used equipment sales. Note that our horsepower utilization calculation is very straightforward. Revenue generating horsepower divided by total fleet horsepower at a given point in time with no exclusions for horsepower that is undergoing maintenance contracted for future use or any other caveats. The utilization of our largest equipments class, 801 horsepower and above remained at 87% exiting the quarter amid continued sign of the supply of larger compression services equipment is tightening. While pricing remains pressured, we are optimistic of rational behavior in the industry, which later in 2017 may allow us to begin to recoup some of the pricing concessions provided in the prior two years in this equipment. The majority of our larger horsepower fleet continues to be deployed throughout the Permian Basin. For 101 to 800 horsepower equipment class, utilization ended the quarter at 72%, up 1% from prior quarter, with a great deal of activity for mid-sized multi-stage equipment being deployed in gasless services in the scoop and stack as well as in the Permian Basin. Utilization of our 100 horsepower and below class remains at 63%. But we have seen very encouraging signs of opportunities for deployment, developing in vapor recovery and production has been applications in areas with a more liquids focus. Our compression services in the Eagle Ford, Haynesville shale and other areas held steady in the first quarter. Turning to new equipment sales, in the first quarter of 2017 we received purchase orders for new equipment sales totaling $5 million and we billed $2.8 million, carrying forward $18.8 million in the backlog. And exiting the first quarter with a $23.8 million backlog, a $2.2 million increase compared to prior quarter. While bookings were down from the level of the prior quarter, activity [indiscernible] inquiries and quotations remains incredibly strong. Industry investment and infrastructure to both expand existing systems and develop new systems in underserved areas can impact our new equipment sales business now and then bodes well for increased demand for field compression and compression services in the future to fill the expanded gathering of processing system capabilities. The sale of used equipment from our compression services fleet provided an additional $2.9 million in first quarter revenues. As has been the case in prior recovery cycles, we're finding and executing on opportunities to increase our aftermarket services business inclusive of parts sales. Aftermarket services in the first quarter provided $9.4 million in revenue, a 36% increase compared to prior quarter. Customers that own compression equipment began to repair, maintain overhaul and redeploy their assets as well as restock inventories after a prolonged deferral of these cost. Our backlog of field and shop aftermarket services work has grown in recent quarters and the volume of inquiry and quotation for such work continues to grow as well. We anticipate a reasonable amount of continued improvement in aftermarket services throughout the year. Continued instability in the market with West Texas Intermediate off 15% to 20% from the price where we entered the year and oscillating a bit between $45, $55 per barrel leaves us hesitant to provide full financial guidance, but we do remain optimistic that the service industry and earnings will improve throughout the year. The actions of our customers seem to indicate that they will not react to short-term volatility in prices and will generally move forward with their investment plans. The continued increase in drilling activity would also seem to confirm this confidence. We previously indicated there our 2017 business plan calls for $15 million to $30 million in total capital expenditures. This is inclusive of estimated maintenance capital which we are now projecting to be $12 million to $15 million for the year. We will continue to pursue and analyze growth opportunities searching for appropriate return and may increase our 2017 growth capital investment plan should circumstances warrant. With that I'll turn the call over to Elijio Serrano.
Elijio Serrano: Thank you Tim, and good morning everybody. First quarter revenue declined sequentially by $17 million or 21% as the fourth quarter included over $24 million of equipment sales, which compares to $5.7 million in the fourth quarter. Tim mentioned already our backlog for new equipment sales is slightly over $23 million, with the majority of that backlog expected to be delivered in the second half of this year. As a result we expect new equipment sales to increase materially in the second half of this year compared to first half of this year as we build and deliver on this backlog. Compression services revenue declined 1.7% sequentially to $50.5 million, a 60 basis point improvement in utilization was offset by the impact of the pricing pressures especially at the smaller horsepower range. Compression services gross margins of $21.5 million were 42.5% of revenue and were impacted by the approximately $1 million of operating costs incurred to prepare idled equipment for deployment in response to the increasing quote proposal inquiries for equipment. This 42.5% margin compares to 44.3% compression services margins in the fourth quarter and the impact of the investment of $1 million to prepare the equipment for deployment later in the year impacted compression services margins by about 200 basis points which we have resulted in a slightly better sequential improvement of compression services gross margins without this incremental cost. The equipment sales of $5.7 million generated slightly over 5% gross margins. Revenue from aftermarket services up $9.5 million represented a 36% sequential improvement, with gross margins of 18.8%, up from 17% in the fourth quarter. We're finding that our customers are also working on preparing and making ready their equipment for deployment on increasing activity levels and are also catching up on the deferred maintenance. During the first quarter, we recorded a noncash fair value adjustment to the Series A preferred convert that reduced earnings by $1.9 million. We've excluded this loss from adjusted EBITDA. Adjusted EBITDA of $19.9 million was $2 million below the four quarter, primarily as a result of lower used equipment sales in the first quarter compared to the fourth quarter. This accounted for $1.7 million of the lower EBITDA in addition to the $1 million of cost incurred to prepare idle equipment for deployment this year. The stronger aftermarket services activity improved gross margins and adjusted EBITDA by $595,000. Distributable cash flow of $7.1 million was $1.7 million below the fourth quarter reflecting the lower adjusted EBITDA. Tim mentioned earlier that we reduced the distribution by 50% to $0.75 per unit on an annualized basis effective with the first quarter distribution that will be made in May. It is our intention to use the retained cash from the reduced distribution to pay down our existing revolver. After we reduced the distribution, we concluded discussions and reached agreement with a revolver group to provide a further flexibility with the existing revolver covenants. The existing leverage ratio of 5.95 and has been increased to 6.75 at the end of June and September of this year to 6.5 for the end of December of this year and the end of March of next year to 6.25 as of the end of June and September of next year. Then dropping down to six times at the end of December 31, 2018 and thereafter it stays at 5.75. Our revolver remains unchanged at $350 million and not mature until late 2019. This incremental cushion should alleviate concerns on covenant compliance and should provide us a flexibility to continue to invest in preparing equipment for deploying, keep investing in maintenance capital expenditures and fund working capital as the market improves. We also have the flexibility to respond to grow capital initiative if they meet our target hurdle rates. At the end of March, the outstanding amount on the revolver was $221 million against the capacity of $350 million, with only $1.9 million of letters of credit outstanding. Our total debt leverage ratio at the end of March was 5.67 times. Maintenance capital expenditures in the quarter were $4.6 million compared to $4.8 million in the fourth quarter and are running slightly above the rate run we expect later in this year as we catch up maintenance on equipment in anticipation of stronger activity levels. In March, we began the monthly conversion of the preferred units into common units converting 242,000 preferred units into 280,000 common units. This conversion will continue equally over a 30-month period which started on March 8, 2017. And the final point before opening the call for questions, we have made significant progress with our EPR initiative. We have completed integration testing and have moved into user acceptance testing with training of our workforce to follow. We believe this project will represent a differentiator for us in work force efficiencies by streamlining our operations, sales, back office and administrative functions. The visibility on equipment status, maintenance, run times and people scheduling were also be meaningfully improved. Our targeted savings are over $4 million on an annual basis after we go live with the system and have a period to ensure its functioning as we expect. We expect to go live with this system in the third quarter. Capital expenditures in the first quarter directed toward system initiative were $2.6 million. And with that, we'll open up the call for questions.
Operator: [Operator Instructions] The first question is from Marshall Adkins at Raymond James.
Marshall Adkins: I want to focus in on pricing issue on the compression services. It does seem like utilization interest levels clearly are taken out the industry as a whole, rig count and everything else is ticking up. But it seems like you're getting still pressured on pricing. So could you help us understand the dynamics that are affecting, do we need to get to a certain utilization level, are we still rolling off of high priced contracts, how are spot discussions going on pricing, all that kind of stuff if you could just address the pricing issue.
Tim Knox: Good morning Marshall, it sounds like you got a good handle on it. So you're assumption is correct, yes, higher priced contracts are rolling off. For example, I mentioned we had some equipment returned out in the western region has been dry gas plays with the volumes have simply gone down. So we've seen high priced to higher price contracts roll off and now while there's not, we're not seeing a lot of new pressure on the pricing, we're not seeing customers calling in and requesting discounts for existing field compression. But each time we have a set offsetting a return, the set is generally at a lower price that's one factor in it. From a utilization and how that impacts pricing standpoint, we certainly do need to see improved utilization and before we'll have pricing leverage. I've said before and I think I would still put that out, perhaps three or four quarters away before there's much pricing leverage in our business. You had one more point that I've already forgotten.
Marshall Adkins: I presume that the timing of the recovery in pricing will be very different for the different size groups. So in other words, the GasJack units are going to be probably the last to see pricing, but the large horsepower maybe earlier, so maybe walk through kind of the horse power sizes and when you think we might see pricing in each of those?
Tim Knox: Sure. And that reminds me, your other point was about spot or about current pricing. So on the spot pricing issue, a new set today, generally speaking, yes, it's a bit higher level than it was, let's say, six months ago, the worst of the worst seems to be behind us, but it's still dramatically less than what the pricing was in say the end of 2014 or even early 2015 and you're also correct in the different horse power categories, larger horsepower and you can define that where you want, we've locked it at 801, but call it a 1000 horsepower and above is becoming pretty tight in the industry. That pricing has stabilized a little bit of opportunity right now for new sets to be higher each time we quote those. In the small end, in the not just below, not just GasJack that are below call it 100 horsepower, there is a lot of equipment in the market and the change out costs are pretty low for the producer. So that is remaining competitive. It does seem to have stabilized, but leverage in that market is a long ways off.
Marshall Adkins: In the mid-range stuff, probably somewhere in between those two I would assume?
Tim Knox: Yeah. In getting more specific into what type equipment it is, not just horsepower, but is it multi status for gas lift or is it mid-range horsepower that's more of some older production. Certainly in the mid-range gas lift market, the pricing a lot better than it was say six months ago, but the more the equipment is old gas production based and maybe the price is not there yet.
Marshall Adkins: Right. Last one for me, you redeemed on the reactivation costs this quarter. Elijio, how much of that should we model in going forward for the next couple of quarters, I assume, you're going to continue reactivating, those costs will continue to be there, is that a fair way to think about it?
Elijio Serrano: We made significant progress in the first quarter and we are not expected to run at those magnitudes for Q2 and beyond.
Marshall Adkins: A little higher than normal, but not as high as last quarter?
Elijio Serrano: Correct.
Operator: The next question is from TJ Schultz at RBC Capital Markets.
TJ Schultz: Great. Thanks. Good morning. Just first on the distribution, what got you to that $0.75 level as the right level as you work kind of through the forecast and talk to the banks, are you targeting some certain level of coverage on that distribution in 2017?
Elijio Serrano: Thanks, TJ. Good question. So every quarter, we have a forward-looking forecast that we are updating based on changing market environments and we always do sensitivity analysis and run multiple scenarios to see what the projections look like, what cash flow looks like, what capital opportunities look like. And we wanted to make an adjustment that was meaningful that will provide us the financial flexibility to be able to respond and keep adding maintenance capital to make ready cost and respond to opportunities for new capital should they present themselves. And so, that 50%, believing that that gives us a right balance between continuing to respect distributions, but at the same time, create financial flexibility for us. We do want to run our coverage ratio above 1 times. We believe that that 1.09 that we recorded in the first quarter is a good conservative number to begin with and we want to stay above that range.
Tim Knox: TJ, I would want to add to that that as we keep things in order, our distribution decision was made prior to the bank amendments. The banks were not involved in establishing what our distribution would be.
TJ Schultz: Okay. So it wasn't part of the amendment process, are there any other kind of incremental costs that came with the amendments on the bank's side?
Elijio Serrano: So the agreement and the distribution reduction was announced before we reached agreement with the banks on what the new covenants would be, probably about three weeks and two weeks in the path of that. And there's always a few bank amendment costs that we'll incur in the second quarter and those will be somewhere between, $0.5 million and $1 million.
TJ Schultz: Okay. That's fine. I guess just lastly on maintenance CapEx, so the run rate in 1Q is higher than your guidance range, just any color on the spend there in the first quarter and your visibility that the maintenance spend can decline for the rest of 2017?
Tim Knox: Yeah. I'd go back to what I've said earlier in this first quarter, we made ready and part of that is treated as an operating cost, part of it depends on what it is, revitalization is our maintenance capital expenditure. We made ready in the first quarter more horse power and more individual compressor packages than we made ready in the first, second, third quarters of 2016 combined. So the amount of equipment that we're getting ready in deploying is very high. We did update our guidance on maintenance capital for the year to 12 to 15. So you can take the 4.8 I believe it was in the first quarter, back that out of that range and get an idea of what we anticipate the rest of the year going forward.
Operator: The next question is from Mike Gyure at Janney.
Mike Gyure: Yeah. Can you talk maybe a little bit about the equipment backlog, maybe the mix and kind of the timing? I think, you indicated in the press release kind of weighted toward the back half of the year, but maybe can you talk a little bit more about that?
Tim Knox: Yeah. Good morning, Mike. We don't give a lot of details about what is in our equipment sales backlog just from a competitive standpoint. You remember in the fourth quarter, we picked up I think it was $12 million in orders that came in and 5 million in purchase orders in the first quarter of 2017 and that does tend to be larger equipment. It tends to be the equipment that our customers view needing on location for say 10 plus years. That's why they buy it as opposed to leasing it or as opposed to having a service. Lead times in equipment sales depends on what it is, but some of the engine lead times are out to a year at this point, some of the largest engines. More common engines are 20 weeks. Compressors are 15, 20 weeks. So we do anticipate that the majority of the equipment currently in our backlog will close before the end of 2017 and we also still have a window open to receive more purchase orders for electric motor driven or some of the smaller engines and some of the pump packages. The window is still open for us to book the orders and bill the new equipment sales within 2017.
Operator: The next question is from Andrew Burd at JP Morgan.
Andrew Burd: Hi. Good morning. Tim, there's some nice utilization in the above 800 horsepower category. How high does that have to get before you need to order new compressor equipment to satisfy any incremental demand. I'd assume operational capacity isn't quite 100%, it's probably somewhere between now and then?
Tim Knox: Right. I would say that operational capacity is 94%, 95%, but again within that 800,000 horsepower category, there's a mixture of equipment there, there's single stage, two stage and three stage and there are a variety of engine configurations. So when we get into some of the specifics, we're up in that low 90% utilization already. The first thing that we'll do is just to keep our capital expenditures as low as we can is we might do some reconfiguration of single stage equipment to turn it into three stage, so we can deploy in the Permian a little bit quicker. And then as that is depleted, like I mentioned kind of in the closing part of the comments, we certainly will review our growth capital plan and where we see an appropriate return, we'll probably go into our board and see if we can increase that growth capital for the year.
Andrew Burd: Great. Thanks. And then last question for Elijio and it's really kind of from your seat, from the TETRA perspective, how do you view the investment in CCLP and would TETRA consider options to unlock value around their equity in CCL?
Elijio Serrano: So CSI Compressco business model is quite strong. You've seen utilization, our equipment remained at good levels for this cycle. You've even EBITDA go from a peak of about $130 million down into the low end anywhere from $90 million to $100 million. It's a fairly strong business model that generates a lot of EBITDA that we like and I think that that business model managing through a significant downturn in the market is the business model that's attractive. Now, I think the TETRA board will, would always consider all options to create shareholder value, but at this point, this is an investment that is generating good earnings through a very difficult market and we like this business model.
Operator: The next question is from Stephen Gengaro, Loop Capital Markets.
Stephen Gengaro: Thanks. Good morning, gentlemen. My main question has to do with the equipment sales side. Can you give us a sense for the, what the margin profile looks like there going forward and what the pricings look like on that front?
Tim Knox: So in our equipment sales financial reporting, we keep new equipment sales and used equipment sales together. We do that I guess for competitive reasons as much as anything. So I'm not going to talk a whole lot about where those margins might go. Certainly, new equipment sales margins have been squeezed the past two to three years. It's not as visible, it's not as easy to define, but the capacity of fabrication shops to build and to package compression units is oversupplied at the moment. Shops aren't full, so those new equipment sales quotations are very competitive and the remaining very competitive. I would anticipate that to be the case throughout 2017, maybe into the first part of 2018. Hopefully by then, there's enough activity in the midstream where most of that sold equipment goes. Hopefully, there's enough activity that by 2018, we've got some better pricing and better shop loading to support that.
Stephen Gengaro: Okay. Thank you. And then just real quickly on the rental side, have you seen the pricing dynamics improve more on the large side because of the utilization or is it - how does that dynamic work?
Tim Knox: Sure. Yes. It has. I would say there is a larger equipment spot pricing, the pricing that we put the next unit out is measurably improved from where it was two quarters ago, whereas in the smaller equipment, the pricing that came into the market throughout the downturn and probably hit bottom six months ago, maybe nine months ago. The pricing level for small equipment has remained fairly flat.
Operator: The next question is from Selman Akyol at Stifel.
Unidentified Analyst: Hi. This is [indiscernible] for Selman. How should we think about the equity issued for services from TTI going forward and then what caused that to switch back to cash payments?
Tim Knox: Well, Tim, the first thing I would say about that and Elijio will talk something in the TETRA side, but that is a quarterly ask from CCGP board and then as a quarterly decision to accept it or not at the TETRA level. And beyond that Elijio, I'll let you address it.
Elijio Serrano: So Tim, good question. What we do on an ongoing basis is we've consolidated a lot of the back office functions, legal, IT, payroll, helpdesk, SEC reporting and so on. And those services are provided, not only for CSI Compressco, but for TETRA also. And then CSI Compressco reimburses TETRA for those services. And in the fourth quarter to support CSI Compressco, we elected to reimburse those fees in equity instead of cash and we did that also for the first quarter this year. As we evaluate our projections and look at opportunities to reinvest in maintenance or growth capital, look at the MLPs, our cash position and projections, we will make that decision on a quarter-to-quarter basis and you can expect that that is somewhere between 1.5, 1.6 on a quarterly basis. So that will be an ongoing decision based on projections and needs for investment opportunities.
Unidentified Analyst: Okay. Makes sense. And I don't know if I missed it, but could you provide the debt and cash balances at the end of the quarter?
Elijio Serrano: Our 10-Q, we intend to file our 10-Q either today or tomorrow, I think tomorrow. And cash is in the $5 million range and total debt is in the 221 outstanding on the revolver and the notes have not changed from the prior quarter. So 221 in the revolver, and we're sitting on about $5 million of cash.
Unidentified Analyst: Perfect. And then just one, producers shut in about 3000 wells in Colorado after an incident. Will that have any impact on Compressco?
Tim Knox: Not measurably, nothing for us to report on.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Knox for any closing remarks.
Tim Knox: Thank you. We do appreciate your interest in CSI Compressco and we thank you for taking the time to join us this morning. I'd like to summarize a few key points from the first quarter. After an extended and severe industry downturn, we've seen two consecutive quarters of improvement in utilization, especially with the higher horsepower fleet. As a result, we're stepping up our efforts to make ready idle equipment by investing in maintenance capital and incurring additional operating cost to take advantage of these opportunities. While the immediate actions are reducing distributable cash flow, we believe this will set us up to respond to market opportunities and will generate additional revenues and lead to improved distributable cash flow in the coming quarters. After market services is ramping up as our customers also begin to catch up on maintenance and prepare their equipment for deployment. The reduction of the distribution and the amendment through our revolver are also structured to allow us to maintain compliance with covenants and to respond to market opportunities. And finally, I mentioned previously our success in SG&A cost control with this quarter 14% below that of the first quarter of the prior year. As we are eager to implement our ERP system and capitalize on investment in the coming months, we believe we have visibility through efficiency driven cost reductions and operations and SG&A combined to slightly over $4 million per quarter - per year, slightly over $4 million per year in an improving market. Again thank you for the time. This concludes our call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.